Operator: Ladies and gentlemen, thank you for standing by and welcome to the Computer Programs and Systems Fourth Quarter and Year-End 2012 Earnings conference call. During the presentation, all participants will be in a listen-only mode. Afterwards we will conduct a question and answer session. At that time, if you have a question, please press the one followed by the four on your telephone. If at any time during the conference you need to reach an operator, please press star, zero. As a reminder, this conference is being recorded Friday, February 1, 2013. I would now like to turn the conference over to Mr. Boyd Douglas, President and Chief Executive Officer. Please go ahead, sir.
Boyd Douglas: Thank you, Carlos. Good morning everyone and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risks, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including but not limited to our most recent annual report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call this morning is David Dye, Chief Financial Officer. David and I have a few minutes of prepared comments and then we’ll be happy to take your questions. In the fourth quarter, we installed our financial and patient accounting system at eight hospitals and our core clinical departmental applications at 12 facilities. Additionally, 16 hospitals implemented nursing point of care, 14 customers went live with the CPOE, and 21 facilities implemented physician documentation. Add-on sales to existing clients were $13.5 million or 28% of total revenue for the quarter. At this time, we expect to install our financial and patient accounting system in seven facilities in the first quarter. We anticipate 15 new installations of our core clinical departmental modules, 15 nursing point of care implementations, and 39 installations of physician applications which consist of CPOE and physician documentation. In business management solutions during the fourth quarter, we executed seven new accounts receivable management contracts, two of which were for full services and five for private pay and insurance follow-up services. I’d spent a good deal of time on our meaningful use success in the previous call, so I’m going to scale back some today. Basically the message is that the beat goes on. From the CMS data as of December 31, 2012, 302 of our clients have successfully tested for meaningful use under the complete EHR designation. This trails only Epic with 308, and the significant gap that has existed between CPSI and our competitors in the rural and community hospital space since the start of the program remains. The one takeaway from these numbers I’d like to leave you with is that we are seeing tangible evidence of the positive effect that our dominance is having on new client sales. For instance, we have budgeted for 35 new client installations for 2013. To date, we have already signed contracts to fill 16 of those slots. In closing my comments, I would like to briefly discuss two more items. Sales of our physician documentation application continue to track at a high level and we expect that to increase as the reality of Stage 2 meaningful use compliance comes closer. Also in 2013, we will be bringing our emergency department application to market. While a small number of our hospitals have implemented third party ED systems, the majority of our clients recognize the particular importance of integration with regard to that area and have waited patiently for CPSI to bring our product to market. Because we will be the only vendor that offers a truly integrated ED/HIS system, we feel that the opportunity here is substantial. As you can tell, the news continues to be positive on all fronts. With that, I’m going to turn the call over to David for his comments.
David Dye: Thanks Boyd, and good morning everyone. Our DSOs as of year-end were 38, down 10 days sequentially and seven days year-over-year. Cash collections for the fourth quarter were a record 53.2 million. Collections for 2012 totaled 184 million, marking the second consecutive year that our cash collections exceeded our gross revenues. Both of these metrics highlight our comparably conservative revenue recognition practices. Depreciation expense was 820,000 for the quarter and 3.2 million for the year. CAPEX for the fourth quarter was 2 million primarily due to the build-out of our new Fairhope software support office location which is set to open later this month and will initially house 100-plus software support and installation professionals. We expect CAPEX of approximately 750,000 for the first quarter and 500,000 per quarter for the remaining quarters in 2013. Our employee headcount as of December 31 was 1,443, up two over last quarter and 178 year-over-year. At this time, we do not expect to add any additional software support and implementation professionals for the foreseeable future. We expect our total employee headcount inclusive of TruBridge to remain below 1,450 employees for the remainder of 2013. The total accumulated unrecognized revenue related meaningful use contracts as of December 31 was 7.1 million. This 7.1 million is made up of amounts outstanding from nine hospital implementations and includes 0.5 million in installations from the fourth quarter. As of today, five of the nine hospitals have successfully attested and we expect the remaining four to attest in early 2013; therefore, we expect the unrecognized revenue related to meaningful use to be substantially less by the end of the first quarter and zero by the end of the September quarter 2013. This will mark an end to what I will call the first generation meaningful use contracts. Under these first generation arrangements, GAAP required us to delay revenue recognition until meaningful use is achieved, as otherwise the contractual payment terms stretched over a period of greater than five years. Beginning with two implementations in the fourth quarter and all new installations in 2013, revenue from meaningful use implementations will be recognized upon go-live for each individual software application. This change is due to significantly more aggressive payment terms in our recent and all future meaningful use contracts, which I will refer to as second generation meaningful use agreements. In the new agreements, the maximum time elapsed before amounts due for the system would be paid in full by the customer is three years, regardless of whether or not the customer achieves meaningful use. Additionally, customers must complete meaningful use attestation within the next 90-day reporting period available after implementation of CPSI’s EHR applications, and as with the first generation contracts, any and all meaningful use funds received by the hospital are payable to CPSI immediately until the balance required to pay for the system is satisfied. Our financial performance for the fourth quarter and year fell slightly below our expectations. This is due primarily to our over-estimating the timeliness with which new hospital implementations contracted under our first generation meaningful use contracts would attest for meaningful use designation, therefore allowing us to recognize the revenue for those implementations. As just stated, we expect to recognize all the revenue from the contracts within the first nine months of 2013. Additionally, several of the fourth quarter implementations installed only base financial and patient accounting applications in the quarter and deferred go-live of the clinical EHR applications until the first quarter of 2013. During the fourth quarter, we were excited to reward our shareholders with a one-time dividend of a $1.00 share over and above our regular quarterly 2012 dividend of $0.46 per share. As mentioned in the press release, our quarterly dividend has been increased to $0.51 per share and our goal remains to continue to reward our long-term shareholders with further dividend increases in the future. Before turning the call over to questions, I would like to spend a couple of minutes talking about Monday’s announcement of the formation of TruBridge. As most of you know, CPSI’s business management services division has provided back office solutions to our existing customer base for more than a dozen years, beginning with patient statement outsourcing in 2000. Since then, we have steadily and successfully grown this segment of our business by providing additional services and increasing our penetration within our existing EMR customer base. Today, more than 90% of CPSI’s existing EMR customers utilize one or more of TruBridge’s services; and in 2012, these services accounted for 42.1 million or 23% of CPSI’s gross revenue. Our current business, IT and consulting services include private pay collections, accounts receivable management, claims eligibility, payroll outsourcing, revenue cycle consulting, clinical consulting, IT consulting, cloud computing, and securities services. As we evaluated this business over the last several years, three findings rose to the forefront: number one, we consistently do a good job providing these services to our customers; number two, these business services are consistently profitable for CPSI; and number three, we are limiting our growth by restricting our customer base only to healthcare entities that have installed the CPSI system. Additionally, our research of the available market opportunities beyond our existing customer base indicated an additional 2,200 community hospitals that are potential prospects for our service offerings. Importantly, none of our core competitors in the community hospital information system industry offer competitive or even similar products in the services arena. Finally, before rolling out our service offerings to the broader market, we decided to combine all of our business, IT and consulting services into a new entity with its own identity and unique brand. The result – TruBridge – will operate as a wholly owned subsidiary of CPSI. Our corporate financial reporting will remain unchanged other than a few components, namely consulting and IT managed services that had previously been reported under support and maintenance and will now be included as components of TruBridge. The revenue for these components totaled 4.4 million in 2012. Please note that CPSI’s guidance for 2013 does not include any impact from TruBridge’s reach outside of CPSI’s existing customer base as this potential financial benefit is unknown both quantitatively and from a timing perspective in 2013. Any positive impact in 2013 would not be realized until the third quarter at the earliest. The long-term prospects for TruBridge are formidable. We believe that as the reimbursement and revenue cycle environment continues to grow more challenging and the IT environment continues to become more complex with increasing use of high-end clinical systems in the forthcoming future meaningful use phases, the demand for TruBridge’s services will steadily grow. I am confident TruBridge President, Chris Fowler and his leadership team will leverage CPSI’s 30 years of community hospital operational experience to steadily grow this exciting new business in the years to come. With TruBridge off and running and with CPSI’s EMR product continuing to lead the community hospital industry, we are excited about our prospects for 2013 and beyond. Carlos, if you would, please open the call for questions.
Operator: [Operator instructions] Our first question comes from the line of Jamie Stockton with Wells Fargo. Please go ahead.
Jamie Stockton – Wells Fargo: Good morning guys. Thanks for taking my questions. I guess Boyd or David, I don’t know who wants to take the first one, but when you think about the pace of deals that you expect to sign in 2013, I think you said that you were kind of basing guidance on 35 new clients and 16 had already been filled. Do you think that given that July is kind of the drop-dead date for a hospital to—at least a non-critical access hospital to get the full meaningful use incentives, do you think we’re going to see a very strong first half from a new deal standpoint like we did last year, maybe even a stronger first half and then a real deceleration in the second half of the year?
Boyd Douglas: No, I don’t necessarily see a deceleration. I think it’s certainly logical to think that if there’s going to be 35 installs, that more of them—more than 50% might be done in the first half, but I don’t think it’s anything significant. If you look at the hospitals and the way the pipeline is, I just don’t see that. I don’t see a huge first half and then a real big decline in the second half based on where prospects are now in the pipeline.
David Dye: And I would also to that, Jamie, I think a slightly higher percentage of them right now are critical access than has been in the past, which I think accounts for Boyd’s answer to some degree as well.
Jamie Stockton – Wells Fargo: Maybe then just as a follow-up on that, the incentives work differently for the critical access hospitals. It seems like they have maybe another year or two than most hospitals do to get the full incentives, at least from Medicare, that are available. Are you seeing a lot less pressure on those facilities to try to get this stuff done and therefore you’re going to see—you’ve got a higher mix of critical access hospitals implementing in the second half of 2013 or into 2014?
Boyd Douglas: Yes, I think that’s accurate.
Jamie Stockton – Wells Fargo: Okay. And then maybe on the emergency department solution, is there a point during the year when we should be thinking about—David, I think you said that in the third quarter that might be where we start to see some of the business management services with non-CPSI customers start to kick in. Is there a point where we should be thinking about emergency departments starting to kick in as far as clients implementing that solution?
Boyd Douglas: I think you may see a little bit in the third. I think that’d be the earliest you’d see it. We certainly don’t have a specific date for it yet, but hopefully to get out there in the second quarter. So you may see a little impact in the third, and then obviously more impact in the fourth quarter from the ED side of things.
Jamie Stockton – Wells Fargo: Okay. Last question – tax rate for 2013, David?
David Dye: Thirty-six percent.
Jamie Stockton – Wells Fargo: Okay, thank you.
Operator: Our next question comes from the line of David Larsen with Leerink Swann. Please go ahead.
David Larsen – Leerink Swann: How much revenue did you recognize in the quarter from deals that were signed earlier in the year that pulled through in the quarter? Did you disclose that number?
David Dye: I’m not sure I understand the question, Dave.
David Larsen – Leerink Swann: So if you signed deals—like 5 million in 1Q, 5 million in 2Q where you incurred costs but didn’t recognize any of the revenue, in the fourth quarter, how much of that revenue flowed through at the higher 90% margin rate?
David Dye: Approximately—I think I know what you’re asking now, Dave. Approximately 2 million.
David Larsen – Leerink Swann: Okay, great. Thanks very much. And then also your SG&A declined nicely sequentially by, I think, about $1.4 million. Is that just expense controls, or--?
David Dye: Yes.
David Larsen – Leerink Swann: Okay. Any additional color on what that was, or just sort of general across the board stuff?
David Dye: No additional color, Dave. It’s just like always, we’re managing our expenses and I think a lot of it indirectly relates to the fact that we essentially stopped hiring at the end of the third quarter.
David Larsen – Leerink Swann: Okay, thanks very much. Appreciate it.
Operator: Our next question comes from the line of Ryan Daniels with William Blair. Please go ahead.
Ryan Daniels – William Blair: Hey guys. Thanks for taking the question. I’m curious with the new version of the meaningful use installment plans, the second generation if you will, has that changed anything with the appetite of the customers given that it now requires them to pay in a three-year period, regardless of if they get the funds or not; or are they pretty comfortable they’re going to get it so this isn’t really changing anything from their standpoint?
Boyd Douglas: No, we haven’t seen it have any negative effect whatsoever. I think there’s a general understanding between both us and our potential and existing customers that we’re all going for the same goal here, and that’s to get the meaningful use and to get the money, and for them to have the money and for us to get paid for our systems. So we haven’t seen that affect the sale from a reluctance standpoint at all.
Ryan Daniels – William Blair: Okay, great. And then if you look at the pipeline, obviously it looks pretty good. Your non-recurring revenue backlog looks good, the 35 installs look good. What is really driving that? Is that mostly greenfield opportunities, or are you actually starting to see more replacement opportunities in the market? Any color there would be helpful.
Boyd Douglas: It’s mostly, I guess, what you’d call greenfield. Certainly—always clarify greenfield. Everybody’s got some kind of billing system but—and we talked about it before, replacing a lot of vendors that you’ve never heard of, a lot of small regional mom-and-pop type vendors. But mixed in there, we certainly are seeing some replacements of these hospitals that went through Stage 1 with some kind of bolt-on application and now they’re starting to realize that maybe that isn’t the best long-term solution. So we are seeing some of those intermingled in there with the greenfield opportunities.
Ryan Daniels – William Blair: Okay, that’s helpful. And then last one just on the IT front, I think Version 19 was scheduled for beta launch sometime in early ’13. Has that gone out yet, and any update there or color you can provide?
Boyd Douglas: Yeah, we’ve got a few hospitals on that now and that’s going well. It’s still early in it, but things are going well with Version 19.
Ryan Daniels – William Blair: Okay, great. Thanks guys.
Operator: Once again, to queue for a question, you may press the one followed by the four on your telephone keypad. Our next question comes from the line of George Hill with Citigroup. Please go ahead.
George Hill – Citigroup: Hey, good morning guys, and appreciate you taking the questions. David, I just want to make sure I understand some of the moving parts of the accounting right between the first generation deals and the second generation deals – I’ll call them the contingent revenue deals. So under the generation one deals, you guys would sell the software, install the software, incur the costs, not recognize any of the revenue and not collect the cash until meaningful use had been achieved, the customer had been paid, and that was when you got paid contingent on them getting the deals done. Now it’s you guys are going to sell the software, deploy the software, recognize revenue at go-live, collect the cash at the point where—collect the cash after the client achieves meaningful use and has been paid under a period not to exceed three years?
David Dye: That’s correct. The maximum period is not to exceed three years, and that’s protection for us if the customer dilly-dallies around and doesn’t do their part to get to meaningful use, then we have to be paid within a three-year period. As soon as—which we think will happen in 100% of the cases, of course; but as soon as they do achieve meaningful use, we get paid. But your explanation of both generations is entirely correct.
George Hill – Citigroup: Okay, so then from an accounting perspective, what we’re going to understand is that then in fiscal ’13, there’s going to be $7 million-ish in revenue that is pulled forward from last year’s deals as we expect those folks to get paid, but we’re also—
David Dye: If they get—go ahead, I’m sorry.
George Hill – Citigroup: But then we’re also going to be collecting revenue this year from contingent deals that were sold where we haven’t been paid yet, so there’s kind of a $7 million earnings tailwind in calendar ’13 that isn’t going to be lapped by the new contingent deals. So calendar ’13 is actually artificially strong at the earnings line by that $7 million?
David Dye: Correct. Well, not necessarily the earnings line. Ninety percent of that, yes, it is because we capitalize some of the hardware. So the vast majority of your description is correct.
George Hill – Citigroup: Okay. All right, that’s all I had. Thank you.
Operator: Our next question comes from the line of Richard Close with Avondale Partners. Please go ahead.
Richard Close – Avondale Partners: Yes, thank you. I just wanted to better understand the deferred revenue. So I guess we ended the third quarter at 9.4 million and so to get to the—I guess on the fourth quarter we were looking for about 6.9 million in recognized deferred revenue, and I’m just trying to understand why we only recognized the 2 million.
David Dye: That didn’t happen, because we had a handful of customers that were slower with the attestation process. We assumed that the majority of them that hadn’t already attested right at the beginning of October were doing so over the course of the month and certainly early November, and a few more than we anticipated delayed. It’s not—as I said, these are made up of nine hospitals. We’re tracking each one of them individually. We know exactly where they stand in the attestation process. It’s nothing that we’re worried about over the long term, but we completely missed the timing of when we thought it would happen.
Richard Close – Avondale Partners: And so—and then the comments with respect to the first quarter, so should the rest of that—what was coming in in the fourth quarter come in in the first quarter? Is that what we’re saying?
David Dye: A lot of it definitely will.
Richard Close – Avondale Partners: A lot of it – okay. And then as we think about the first quarter, the R&D tax credit, can you give us any type of magnitude historically what your R&D tax credits have been, because we’ll get the full year from calendar 2012, I guess, since the fiscal cliff announcement, right?
David Dye: Yeah, we’ll get somewhere just north of $300,000 that we’ll get to book in the first quarter for the effect of the full-year 2012, plus the effect within the quarter for the first quarter 2013.
Richard Close – Avondale Partners: Okay, helpful there. And then physician documentation, where are we in terms of penetration? Boyd had mentioned high level and continuing to expand in 2013, so if you could give us the penetration on CPOE and physician documentation, that would be helpful. And I apologize if you did that earlier – I somehow got disconnected and came on the call late.
David Dye: Yeah, CPOE is approaching 70%, and physician documentation is just slightly south of 10.
Richard Close – Avondale Partners: Okay. And then when we think about the 35 new clients baked into the guidance, 16 have already signed, how would you characterize the pipeline in terms of is it going to be increasingly tougher to get the additional 16, 17 new clients, or is the pipeline there?
David Dye: It’s always tough, but given the pipeline now we definitely think it’s there, both in terms of the numbers and in terms of our win rate, which continues to improve because of our meaningful use success. 
Richard Close – Avondale Partners: Okay. And do you feel like your—is there any competitors that are stumbling that you’re able to take advantage of? Anything from the competitive standpoint that you would like to characterize for us?
David Dye: Nothing specifically, but yeah we definitely think that’s occurring, essentially with the non-integrated vendors that tried to make a push over the last couple years into this space. As we’ve said before, it’s one thing to demo it; it’s another thing to install it.
Richard Close – Avondale Partners: Okay. And then as we think about margins, I assume that the last six months you have been investing in TruBridge. You did the marketing or the brand research and spent some money there, probably spent some money in terms of build-out of the subsidiary. How should we think about what the impact on outsourcing margins was in the quarter, and as we think about the first half of 2013, any incremental investments?
David Dye: We don’t have a whole lot of further incremental investments in 2013 for TruBridge. As you can see from the margins in 2012, and we’re just now to the point where we can really explain why, but we have been investing a lot in the branding and the personnel to get ready for the announcement from Monday. We don’t have a whole lot more to spend there. I think the margins should improve slightly over time. Not necessarily saying which quarters these things will occur in, but it should improve slightly over time; and as we have success going outside of our traditional customer base, they should improve even more.
Richard Close – Avondale Partners: Okay. And then with respect to the shift in revenue, you made light of 4.4 million support and maintenance that will get moved to a TruBridge line item, and I assume that’s pretty linear in terms—or just 1.1 million shift out on a quarterly basis from our support and maintenance down to TruBridge?
David Dye: Yeah, correct.
Richard Close – Avondale Partners: Okay. That’s all I have. Thank you very much.
Operator: Our next question comes from the line of Caroline LeCates with Lazard Capital Markets. Please go ahead.
Caroline LeCates – Lazard Capital Markets: Hi. I’m just curious off of the operating expenses, since you’re not making any additional hires this year, would you expect that ratio to go down a little bit this year?
David Dye: Yes, that’s the plan.
Caroline LeCates – Lazard Capital Markets: Okay. And then also just in terms of earnings rather than revenue distribution, would we expect to see a stronger first half based on having a more beneficial system sales margin from recognizing those meaningful use deals in the first quarter?
David Dye: Yeah, as we recognize revenue from those deals, that will certainly have a positive impact and we expect the majority of that to be in the first half of the year. There will probably be some in the third quarter, but the majority should be in the first half of the year, yes.
Caroline LeCates – Lazard Capital Markets: Okay, thank you.
Operator: The next question comes from the line of Sean Wieland with Piper Jaffray. Please go ahead.
Sean Wieland – Piper Jaffray: Hi, thanks. Can you talk about how your change in payments terms is going to affect your win rate? Specifically, how many hospitals to date do you think that have chosen CPSI chose CPSI in part due to your flexible payment terms?
Boyd Douglas: You know, certainly a lot of them do; but I don’t think the change in payment terms, as we talked about earlier, Sean – this is Boyd – really is going to affect it because of our track record with meaningful use, as David talked about earlier. Their whole goal is to meet meaningful use, and obviously our interests are aligned with theirs. We want them to meet meaningful use as well so that we’ll get paid. So we fully expect 100% of them to meet meaningful use before three years is up, but that just kind of—you know, from an accounting perspective of it, I guess the three-year thing is the reason that GAAP changes the way the revenue is recognized. But as far as affect on our win rate, we don’t obviously expect it to affect that at all.
David Dye: And I’ll add to that, Sean, that we’re not unique in our offering here. We may be slightly more aggressive in pushing it out, but the competition is doing the same thing.
Sean Wieland – Piper Jaffray: Okay. So what’s your ability now with third party lease financing companies to offer payment terms through that vehicle?
David Dye: We don’t partner with any third party financing firms. Obviously we have a few name that have been successful in financing with our hospitals in the past that we can throw out to our potential hospital customers when they ask us, but we don’t have anything close to a formal relationship with any vendors. For the most part, essentially, we’re becoming the financing arm for these hospitals that are looking to achieve meaningful use.
Sean Wieland – Piper Jaffray: Okay. Do you have a customer count at the end of the quarter?
David Dye: I do not have a customer count. It’s just north of 650.
Sean Wieland – Piper Jaffray: Okay. And then last question is I call them SAS conversions – we all call them something different – but about $2 million in the quarter plus the $7 million in the first nine months of 2013 was quite a bit below what we were thinking you were gathering up over the past several quarters, a year and a half or so. So did we just model that wrong, or did anything change there? It just looks like the aggregate amount of these delayed payments seems like it’s less than what we thought it was.
Boyd Douglas: We’ve been giving the amount as of the end of each quarter starting with the beginning of last year, so I don’t know how there could be any secret with just the pure new hospital sale implementation and potential conversions. Now, there have been in the past some additional, what I have referred to as SAS conversions where we had contracts mostly with existing customers that had done some add-on software with us to get to meaningful use where CPSI had – and in some cases these varied – the hospitals had the option to buy out the SAS as they achieved meaningful use. Those amounts have always been substantially less than we’ve had available with the traditional new implementation meaningful use installations, and because there’s always been a doubt as to whether or not those would convert, we’ve never quantified those. We’ve had some of those in previous quarters and we may still continue to have a few from time to time. I don’t expect in any one given quarter going forward, any SAS conversions will in aggregate be more than, say, a $500,000 benefit in any one quarter, if that provides any clarification.
Sean Wieland – Piper Jaffray: Yeah, you cut out on that last number that you gave. It was my phone – sorry.
Boyd Douglas: What I said was I don’t expect that any future SAS—what I refer to as SAS conversions, which is over and above this 7.1 million that’s outstanding now, would total any more than, say, a half million dollars in any one quarter.
Sean Wieland – Piper Jaffray: Okay, got it. Thanks so much.
Operator: Our next question comes from the line of Frank Sparacino with First Analysis. Please go ahead.
Frank Sparacino – First Analysis: Hi guys. David, on the break-out you gave for the 4.4 million on the consulting and managed IT services figure, do you know what that number was in 2011?
David Dye: I don’t. I can get that for you offline. I may be able to figure it out for you while we’re still on the call. If I do, I’ll jump back in.
Frank Sparacino – First Analysis: Sure. And then on TruBridge, I’m trying to get a sense of the market opportunity there. Could you help me? I guess first is if you had a hospital, let’s say a 50-bed hospital that was utilizing all of the services from TruBridge, do you have a sense what that would equate to in annual revenue?
David Dye: That’s hard. The best way I think to summarize it is the most complete offering that we have and therefore the greatest revenue opportunity is when we manage the entire accounts receivable or manage the entire business office for one of our customers. A 50-bed hospital, that’s going to run somewhere around, say, $400,000 a year, $500,000 a year in revenue; and the reason I say that is because we have several subset services that can make up that full business office management offering. For example, we could do just private pay collections and that may run 120 to $180,000 a year for a 40 or 50-bed hospital, and then we have just statement outsourcing. But I think the biggest opportunity for a 40 or so bed hospital would be if we did the whole business office, which is about a half million dollars a year. One way I like to look at it is it’s a $42 million business now. We’ve got 650 hospitals that we obviously feel like we can penetrate at a much greater rate than we already have now. But if you take that and multiply it by 4.5 or 5 to get to the total number of community hospitals out there, then I feel like it certainly signifies that long-term it could be a 150 to $200 million annual opportunity if we were to have the same success rate among the community hospital marketplace as a whole. I mean, obviously that’s looking long-term, but that’s the way we look at the opportunity.
Frank Sparacino – First Analysis: Sure. And last question – as you go into that marketplace, particularly in a non-CPSI hospital, have you had any initial discussions yet with one of those that’s using a competing EMR?
David Dye: Oh, we’ve had lots of discussions. We agonized and spent a lot of time thinking about the best way to go about this effort and whether to do it under CPSI or whether to go out under a new brand, et cetera. And in that process, we talked to many, many hospitals that both do have CPSI’s EMR product and those that don’t.
Frank Sparacino – First Analysis: Okay, thank you. That’s helpful.
Operator: Our next question comes from the line of Sandy Draper with Raymond James. Please go ahead.
Sandy Draper – Raymond James: Thanks and good morning. Just a couple questions – most of mine have been asked. One – David, in terms of the impact in the fourth quarter for ’13, in terms of you guys buying out the—you guys being owners of the headquarters, did that have an impact on the expenses in the fourth quarter, or how much gain do you get in 2013 in terms of that?
David Dye: In terms of our buying the CPSI headquarters in the fourth quarter of 2011?
Sandy Draper – Raymond James: Yeah. I mean, is there any additional benefit or is that pretty much all done, because what I’m trying to get at, there wasn’t any—that wasn’t a function in the fourth quarter for what happened in terms of the expenses. There wasn’t something that all of a sudden changed and so now you’re now getting an ongoing benefit there?
David Dye: No, it was not.
Sandy Draper – Raymond James: Okay, great. That’s helpful. And then the other follow-up, just going back to, I think, George’s question, to make sure I understand, when you said you were going to recognize the revenue once you’ve implemented, do you recognize all the revenue or does it get spread out over the three years, or do you potentially have a three-year receivable on that? I’m just trying to understand that dynamic.
David Dye: We recognize all of it.
Sandy Draper – Raymond James: Okay, so you recognize all of it. So you will recognize that, and then your receivable—will you start to potentially have a long-term receivable that you may have out there, or how do you decide when it’s long-term versus, say, the current receivable?
David Dye: Yeah, I think some of it will definitely be long-term, and some it will remain in short-term. The way we look at it is they’re required to attest—they’re required to install all the applications. From the first application go-live, even if that’s, say, general ledger, they’re required to install all the applications to get to their required to attest to meaningful use within 90 days, and then they are required to begin the attestation process immediately in the first available period thereafter. So we think—again, as I said, these terms are much more aggressive and if they don’t hit any of those milestones, the entire contract becomes due immediately. So I think the long-term edge that this thing will go from go-live to when they achieve meaningful use and get paid, and therefore we get paid, will be nine months on these new deals.
Sandy Draper – Raymond James: Okay, so you’re seeing this term within a year? You’re not seeing most of them extend out beyond a year?
David Dye: That’s correct.
Sandy Draper – Raymond James: Okay, great. Those were my two questions. Thanks.
Operator: Before we proceed to our next question, ladies and gentlemen, to queue up for a question please press the one followed by the four on your telephone. Our next question comes from the line of Bret Jones with Oppenheimer. Please go ahead.
Bret Jones – Oppenheimer: Thanks for taking the question, and good morning. I just wanted to check on the math a little bit on these meaningful use deferred deals. I thought I heard you say that essentially 0.5 million was added in this quarter. Is that correct?
David Dye: Yeah, under the old style meaningful use contract, yes – 0.5 million was added.
Bret Jones – Oppenheimer: Okay. And then were there some new contracts under the new second generation contracting?
David Dye: Yes, two.
Bret Jones – Oppenheimer: Okay, so that’s what I was going to check on because you had three hospitals guided for installs in your guidance for the fourth quarter were expected to be these meaningful use deferred deals, so two of them became the new revenue recognition method?
David Dye: Yeah, and looking at the accounting ramifications and talking with our auditors, those two switched over to the new style.
Bret Jones – Oppenheimer: I got you. And then just to make sure I have the math, then, so we’ve got a 2.3 million draw down in the accumulated unrecognized revenue, right? So it went from 9.4 to 7.1. You increased it by 0.5 million. Doesn’t that mean you recognized 2.8 million, or am I missing something? Are the new deals throwing me off a little bit?
David Dye: No, you got it.
Bret Jones – Oppenheimer: Okay, so it is 2.8 million was recognized in this quarter.
David Dye: That’s correct.
Bret Jones – Oppenheimer: And then just to kind of read through the lines on the new contracting, is it your concern that some hospitals will elect to—will install the software but elect to push off meaningful use attestation for a long time, and that’s the reason behind the change in the accounting method?
David Dye: I would say based on our experience with the first generation contracts, as I said, we think those things will be completely washed out, which I think we’re all happy about, by the end of the third quarter of this year. So I feel confident we’re going to get 100% success rate with all those contracts. Having said that, we felt the need, and beginning with the second half of last year, for our customers and CPSI to be even more aligned in terms of our desire to get this done as quickly as possible, which is why we pushed for the new terms in the contract to get this done and to require them to do this on a much more timely basis contractually, or else the entire amount for the system comes due. So I don’t know if that answers your question. Certainly, we are not concerned that these hospitals under these new contracts aren’t going to attest to meaningful use – I mean, they essentially have to.
Bret Jones – Oppenheimer: That’s what I was going to get at, because it does seem that they were wrapping up with an 18-month window, so I was curious as to the need to push for more aggressive terms.
David Dye: We weren’t happy with that.
Bret Jones – Oppenheimer: I got you. And then just a last question, when we think about the cost structure, you’re guiding for about 35 installs. Historically you’ve said you have implementation capacity of about, I believe, it’s six per month, 18 per quarter. Clearly you’re running underneath that. Have you shifted implementation capacity into more of the service area or other areas to reduce some of the cost structure?
Boyd Douglas: We have shifted some capacity from the financial and clinical applications over into—you know, we’ve done a lot of retraining of some of our people and trained them to install the higher end clinical applications, the physician applications and things like that. Yes.
Bret Jones – Oppenheimer: So do you believe you’re running at the right implementation capacity across all of your applications right now, or is there room to maybe take some of that headcount and maybe shift it towards some of the newer areas, whether it’s TruBridge or something else?
Boyd Douglas: No, I think we’re pleased with where we are right now.
Bret Jones – Oppenheimer: All right, great. Thank you.
Operator: We have a follow-up question from the line of Richard Close with Avondale Partners. Please go ahead.
Richard Close – Avondale Partners: You guys just answered my questions. Thanks.
Boyd Douglas: Okay, great. Thanks Richard.
Operator: All right, there are no further questions at this time. I will now turn the call back to you sir. Please continue with your presentation or closing remarks.
Boyd Douglas: I want to thank everyone for their time this morning and hope everyone has a great weekend.